Operator: Good morning, ladies and gentlemen. Welcome to Bancolombia S.A.'s Fourth Quarter 2024 Earnings Conference Call. My name is Christine, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Following the prepared remarks, there will be a question and answer session. Please note that this conference is being recorded. This conference call will include forward-looking statements, including statements related to our future performance, capital position, credit-related expenses, and credit losses. All forward-looking statements, whether made in this conference call, in future filings, in press releases, or verbally, address matters that involve risk and uncertainty. Consequently, there are factors that could cause actual results to differ materially from those indicated in such statements, including changes in general economic and business conditions, changes in currency exchange rates and interest rates, introduction of competing products by other companies, lack of acceptance of new products or services by our targeted clients, changes in business strategy, and various other factors that we describe in our reports filed with the SEC. With us today is Mr. Juan Carlos Mora, Chief Executive Officer; Mr. Mauricio Wolff, Chief Strategy and Financial Officer; Mr. Rodrigo Prieto, Chief Risk Officer; Mrs. Catalina Tavon, Investor Relations and Capital Markets Director; and Mrs. Laura Clavijo, Chief Economist. I will now turn the call over to Mr. Juan Carlos Mora, Chief Executive Officer. Mr. Juan Carlos, you may begin. Good morning.
Juan Carlos Mora: Welcome to Bancolombia S.A.'s fourth quarter results conference call. Please go to slide two. A challenging fiscal landscape in Colombia, the year 2024 concluded with a positive economic trend presenting moderate growth. This growth was facilitated by decreasing inflation and reductions in interest rates, which consequently led to an increase in household consumption. Net income for the quarter amounted to 1.7 trillion pesos, reflecting an 11% increase primarily due to resumed loan growth across all segments and a significant reduction in provision expenses. These resulted in a quarterly annualized cost of risk as low as 1.35%, offsetting the decline in interest income associated with a lower-yielding loan portfolio, thereby reducing the net interest margin to 6.4% for the quarter. Overall, the return on equity for the quarter increased to 15.7%. Net income for the year was 6.3 trillion pesos, a 2.5% increase which boosted shareholders' equity by 14.3% and resulted in a 15.8% ROE. In evaluating this positive annual performance, we identify three key factors that explain these results. First, our unparalleled capabilities in asset liability and treasury management, which have enabled us to maintain high net interest margins on an asset-sensitive portfolio despite significant rate cuts, effectively supplemented by a strong contribution from the investment portfolio. Second, the robustness of our well-calibrated risk models, which allow us to manage credit risk with greater efficiency. Third, our rigorous cost control strategy implemented throughout the year, resulting in an annual operating expenses increase of only 5.3%, slightly above the annual inflation. Following these strong results, we announced to the market yesterday our proposed dividend to be submitted for shareholders' approval amounting to approximately 3.8 trillion pesos, which represents a 10.3% year-over-year increase equivalent to more than 500 basis points above inflation and achieving a payout ratio of 60%. The dividend will be paid in one installment of 3,900 pesos per share on April 1, 2025, aiming to enhance value distribution to our shareholders. Lastly, I would like to inform you that we are making significant progress with our corporate evolution towards the establishment of Grupo Sura, our new holding company. We have obtained the necessary approvals from all Central American regulators and are continuing to advance in the process with the Colombian regulator. Our goal is to complete this transaction by the second quarter of 2025. I will now turn the presentation over to Laura Clavijo, our Chief Economist, who will offer an analysis of the macroeconomic environment. Laura?
Laura Clavijo: Thank you, Juan Carlos. Now if you could please turn to slide three. The Colombian economy expanded at an annual rate of 1.7% during 2024, slightly below our 1.8% growth expectation, confirming an ongoing economic recovery, especially if compared to 2023's GDP growth of just 0.7%. A deeper look at the composition of growth tells a story of better-than-expected performance from specific sectors such as agriculture and entertainment, which expanded at an annual rate of 8.1%, but that may nonetheless lose momentum in 2025. Underwhelming activity from other key sectors such as mining, manufacturing, and housing continue to reflect the challenges that the economy still faces. On a more positive note, the final quarter confirmed an uptick in retail sales, and consumer demand for durable goods is taking a turn towards the positive. For example, vehicle sales grew at an annual rate of 7%. Indeed, a more constructive macroeconomic framework has enabled an upswing in both sentiment and growth. Inflation continued its downward trend towards the end-of-year mark of 5.2%. The monetary policy rate closed at 9.25%, and unemployment has subdued close to 10%, a historically low year average. Moving forward, the global setting places a backdrop of mounting inflationary challenges and monetary policy caution. These headwinds coincide with local inflationary pressures, such as the above-expected minimum wage set for this year, the fiscal debate around compliance with the fiscal rule, also necessary expenditure cuts amidst the flexibility, and an overall acceleration of government debt back to a 60% of GDP level. Consequently, inflation expectations are being pushed higher. We expect inflation to reach 4% in 2025. In addition, the central bank will be adopting a more cautionary approach. Despite the challenges ahead, signs of an economic recovery are more widespread. As the macro scenario brings tailwinds, we confirm our view of a 2.6% year-end growth forecast for 2025. Now please let me turn the presentation back to Juan Carlos, who will present Bancolombia S.A.'s quarterly performance.
Juan Carlos Mora: Thank you, Laura. Please proceed to slide four. Before discussing the quarterly and year-end results, I will provide an overview of our market position in Colombia and Central America. This is based on our significant presence in the region, reflecting our focus on an integrated client-centric approach, which is important in the current competitive environment. Starting with Colombia, it is notable that we hold a strong position in both the loan portfolio and deposits market share. In the loan book, we lead in the commercial and consumer segments and are second in mortgages. Additionally, we launched a reduced-rate mortgage loans program, resulting in a 15% year-over-year expansion in our mortgage portfolio in Colombia. Regarding deposits, Bancolombia S.A. holds over a quarter of the total deposits in the country, utilizing both physical and digital channels. We also maintain a leading position in terms of executed transactions within the country, securing a 31% share of credit card transaction value, 40% in debit card transactions, and an impressive 80% in the number of monetary transactions through our digital channels. This significantly contributes to our consistent ability to preserve our market share in deposits year over year. In the Central America market, we hold a significant presence with approximately 25% of loans and deposits in Banco Agricola in El Salvador. In Panama, Banistmo ranks second with around 14% in loans and deposits, given the more competitive environment. In Guatemala, there is a potential for growth as BAM currently holds 10% of the loans and 18% of the deposits in the country. The above statements describe our position as a strong regional franchise based on a universal bank model, which currently serves a broad and diversified base of over 30 million customers in Colombia and nearly 3 million in Central America. The results achieved in the year 2024, which differ significantly from system-wide results, particularly in terms of NIM, cost of risk, and ROE, reflect our competitive advantages, our clear strategy, and our readiness to address both traditional and new competitors as well as regulatory changes. Please proceed to slide five. Continuing with the strategy overview, I will now discuss the progress made on our second value-driven pillar, which leverages our digital capabilities and multichannel platform. Recently, we launched the Tuz Jabbas program, a solution that enables Bancolombia S.A. and NECC customers to easily select their keys for instant fee-free money transfers to other savings accounts, checking accounts, or low-value credit deposits among the eight entities participating in this initiative. Our overall approach to the program is threefold: first, facilitating the movement of flows; secondly, strengthening Bancolombia S.A.'s and NECC's ecosystem with a seamless and reliable experience; and thirdly, deepening our understanding of customers by having greater traceability of flows. For over a decade, we have invested in developing an innovative, multichannel, and interoperable platform. As shown, we now serve six out of ten Colombians through Bancolombia S.A. or NECC, with over 30 million customers. We manage 33% of the country's payrolls and handle 90% of interoperable QR payments for merchants. We process 75% of payments via TransfVR and 85% of international remittances. We firmly believe that interoperability enhances financial inclusion, fosters market competitiveness, and promotes economic growth. Therefore, we are taking the lead in addressing this by inviting other market participants to join this initiative, which acts as a precursor of the Breve immediate payment system. Additionally, we are educating customers on how the keys will function within our nation's financial system. This, combined with our established presence in the transactional space and a stable customer base, provides an opportunity to improve interoperable features within our payments infrastructure and pursue distribution and cross-selling initiatives. I will now turn the presentation over to Mauricio Wolff, who will present further details on the fourth quarter 2024 results. Mauricio?
Mauricio Wolff: Thank you, Juan Carlos. Please go to slide six. The results in 2024 for the regional operations were mixed. On the one hand, Banco Agricola in El Salvador registered an ROE close to 21% on the back of an increased volume of consumer loans as it kept expanding in new market niches coupled with a reduction in cost of funding. BAM achieved net income growth, which resulted in an 8.1% ROE supported by loan growth across all segments, driving higher interest income generation. Additionally, provisions dropped 21% during the year due to the release of provisions associated with certain corporate clients. On the other hand, Banistmo's net income dropped 56%, resulting in a 4.5% ROE for the year due to lower net interest income and higher provision expenses. Let's now proceed to slide seven. Continuing with the slow but positive trend, the loan portfolio recorded the largest quarterly expansion with a 3.7% increase, which represents a 10% increase over the year.
Juan Carlos Mora: Leaving behind the contraction dynamics of 2023. Home lending posted the largest growth both on a quarterly and an annual basis, as the reduced interest rate program has fostered credit demand among individuals in Colombia and helped to stimulate a recovery in the real estate sector. There was also a significant growth of 11.5% in commercial loans due to decided incentives to boost credit demand among our corporate clients. On the other hand, the consumer loan book slightly increased on a quarterly basis, accumulating a modest 2.3% during the year driven mainly by the positive dynamics of unsecured lending in El Salvador and credit card loans in Guatemala. Please go to slide eight.
Mauricio Wolff: Deposits picked up 7.4% in the quarter, mainly explained by a seasonal effect as corporates and public entities typically increase their balances. Individuals also hold more liquidity at year-end. On an annual basis, deposits increased 13%, outpacing loan growth and was driven mainly by the operations in Colombia and El Salvador. In the case of Colombia, this explains to a large extent the ample liquidity held throughout the year. When breaking down by type of deposit, the aggregate balance of sight deposits remained pretty stable year over year. However, I would like to highlight that saving deposits in Colombia grew close to 14% on a quarterly and an annual basis, reflecting the bank's capacity to attract and maintain low-cost funding sources, even as competition evolves. On the other hand, time deposits intentionally grew at a moderate 1% in the quarter, reducing the annual pace of growth compared to sight deposits.
Juan Carlos Mora: This growth
Mauricio Wolff: has been driven by short-term online time deposits, which keep attracting retail clients. Now our overall funding cost dropped by 23 basis points during the quarter and 118 basis points during the year, partially offsetting the NIM compression related to the Central Bank reference rate cuts. Please proceed to slide nine. Net interest income from loans and financial leases decreased by 2.5% during the quarter and 4.1% during the year due to the monetary policy mentioned before, that kept exerting pressure on our asset-sensitive loan book. Regarding margin sensitivity, we continue to adapt our asset and liabilities strategies to remain well-positioned according to the interest rate cycle. As depicted on the upper right-hand side graph, in the last twelve months, we have been able to decrease the net sensitivity to interest rates, despite the increase in non-sensitive to interest rate liabilities, which in turn is explained by the growth on sight deposits, which by definition, are low-cost sources of funding that provide an anchor to our overall cost. Also, I would like to highlight the positive performance of our investment portfolio during the entire year, which by virtue of skilled asset liability management strategies increased earnings from valuation of financial instruments and the sale of derivative securities to clients contributing to overall interest income generation. On the other hand, the net interest margin for the quarter was 6.4%, equivalent to a 42 basis point reduction and 6.8% for the full year, implying a 20 basis points contraction as anticipated, explained by the lower-yielding portfolio, partially compensated with the investment portfolio income. Please proceed to slide ten. The income increased 4.4% over the quarter due to a higher volume of transactions associated with year-end seasonality and better results on bancassurance as consumer credit originations accelerated towards the end of the year. Now on an annual basis, net fee income increased 5.6%, explained mainly by an increase in interchange fees through debit and credit cards given a higher transactional value, an increase in banking services fees associated with the use of electronic and digital services, and an increase in asset management fees. On the other hand, these expenses increased 13% year over year, mainly due to higher credit and debit card royalties as per higher transactional values, third-party collections, and increased banking agent costs attributable to more transactions and new agents. The fee income ratio remained relatively stable, reaching almost 19% as a proportion of the total net operating income. Please go to slide eleven. Continuing with the positive trend observed since June, loan deterioration kept receding during the fourth quarter as reflected in the declining pace of past due loan formation, calling for 2024 as the tipping point in terms of asset quality. Consistent with the above, net provision expense for the quarter amounted to 930 billion pesos, a significant 41% decrease quarter over quarter due to the better performance across all segments and the sale of distressed assets. Also, there was a 444 billion pesos provision released in the quarter as the consumer portfolio expected losses dropped considerably and the macroeconomic variables that feed the model have turned more promising. Hence, the cost of risk for the quarter fell to 1.3%. On an annual perspective, net provision expenses closed at 5.5 trillion, which represents a 27% annual contraction on the back of the better performance of the consumer segment throughout the year, coupled with more than one billion dollars in provision releases as the overall risk perspective has become increasingly positive, enough to compensate the growth on SMEs and corporates. All in all, the cost of risk for the year reached 2.1%. In terms of asset quality, total past due loans presented a quarterly and annual improvement in terms of 30 days past due loans, preserving an ample coverage ratio at 112%, whereas the 90 days past due loans ratio decreased quarterly as collections efforts diminish over time, yet allowing for a 159% coverage. From an expected loss perspective, loans in stage one increased throughout the year as per the better risk outlook, whereas stage three increased due to the actual deterioration of specific corporate clients. All in all, the coverage ratio for stage two and stage three loans reached 41%, providing comfortable coverage to the loan book. We expect that as the economy turns more dynamic, in sectors such as construction, and retail sales pick up, the SME's loan portfolio should perform better. Please go to slide twelve. Operating expenses increased 13.4% compared to the previous quarter, an expansion associated with a year-end seasonal effect consisting of higher IT and cybersecurity-related expenses as well as marketing expenses, which were partially compensated with an 8% drop on a tax provision release. Moreover, personal expenses grew 8.6% due to higher bonus plan provisions as year-end results were better than expected. However, when analyzed on an annual basis, operating expenses grew as low as 5.3%, well below the 12.3% of the Colombian minimum annual increase and the 9.2% inflation at 2023, which were the basis of around 75% of the group's expenses in 2024. The positive annual result was possible due to a disciplined cost control program implemented throughout the year aiming at capturing efficiency in six key areas, which in turn reinforced our culture of efficiency and productivity. Notwithstanding the above, when measured under the cost-to-income ratio, it came in at 49% compared to the 45% of the previous year given the lower pace of operating income growth and the limited expense dilution. Please proceed to slide thirteen. The effective tax rate for the year was 28%, higher than the 24% recorded in 2023, provided the higher contribution of the Colombian operation to the group's consolidated net income. All in all, net income reached 6.3 trillion pesos in 2024, increasing 2.5% with an annual return on equity of 15.8%, which if adjusted for goodwill translates into an outstanding return on tangible equity of 20%, reflecting the balance sheet's strong operational and financial performance. Now please proceed to slide fourteen. Shareholders' equity grew 6.5% and more than 14% in the year, explained by the generation of net income as well as currency depreciation. The core equity tier one ratio ended at 11.89%, a 32 basis points increase over the quarter, well above the Basel III minimum requirement, whereas total solvency decreased 60 basis points to 13.75% on the back of a lower tier two as per the redemption of the 2029 subordinated bonds executed in mid-December. Based on our proven strong capital origination and the loan growth forecast, we are confident capital ratios will remain well above the minimum, providing room for a 60% payout ratio which results in an attractive yield balancing all our stakeholders' interests. With this, I will now hand the presentation back to Juan Carlos for the final remarks. Juan Carlos?
Juan Carlos Mora: Thank you, Mauricio. Please proceed to slide fifteen. By the end of the year, we originated over 32 trillion Colombian pesos under our business with purpose strategy, bringing the total to 197 trillion since 2020 and moving towards the goal of 500 trillion by 2030. We attended COP16 on biodiversity, showing our commitment to financing environmental preservation and sustainable development projects. In 2024, we scored 85 out of 100 in the Dow Jones Sustainability Index, ranking first in America. Please refer to slide sixteen. Lastly, I will share our updated guidance for 2025. We anticipate a consolidated loan growth of 5.6%, which is slightly below previous projections due to the increase in loan growth of SAFE in the fourth quarter of last year, thereby adjusting the baseline. We project a net interest margin of approximately 6.2%, contingent upon the central bank's rate-cutting pace. The cost of risk is expected to be between 1.9% and 2.1%, with an efficiency ratio in the vicinity of 51%. Additionally, we forecast a return on equity of around 14% and a core equity tier one ratio ranging from 11% to 11.5%. With this, we conclude our presentation on the fourth quarter results. We are now ready to address any questions you may have.
Operator: Thank you. We will now begin the question and answer session. If you wish to be removed from the queue, please press the star and the number two. If you are using a speakerphone, you may need to pick up the handset before. Thank you. Our first question comes from the line of Brian Flores with Citi. Please proceed with your question.
Brian Flores: Hi, team. Good morning, and congratulations on the results. I wanted to expand a bit and ask you about how capital will be utilized with the new holding structure. So first, I know there is some perhaps core equity tier one that could be utilized. I wanted to ask you if you can remind us how this can happen. And then a second question is on your payout ratio. Do you have a higher valuation right now? And we know you announced plans to maybe start a buyback program within this new structure. So just wanted to check with you if the new evaluation levels modify naturally with the new payout ratio modify your plans on the buyback program. Thank you very much.
Juan Carlos Mora: Thank you, Brian. Let me address your two questions and then I will pass your question to Mauricio to see if he has any additional comments. Regarding capital, it's important to have in mind that the evolution of our corporate structure allows us to manage capital much more efficiently. The holding structure allows us to assign the right capital for the different operations. Banks will have to comply with the requirements of capital pack. The holding company is not subject to those requirements, so it allows us to manage our capital very efficiently. What we have in mind is once we have this structure in place, we will assign the needed capital with the buffers that we consider reasonable but optimize the use of capital. That allows us to have better returns on equity. And that's related to your second question, the payout ratio and the current valuation of the stock. What is happening in the market is not going to modify what we have in mind regarding the ability that we will have with the evolution of our corporate structure to buy back our shares. So on that, with the valuation that we have now, we still, once we have the structure in place, we will propose to the shareholders meeting a buyback program. Mauricio, I don't know if you have any additional comments on Brian's questions.
Mauricio Wolff: Yes. Hi, Brian. When thinking about CET1, it's important to take into account that the target levels for each of the banks will remain the same. So we will still be thinking about 11% to 11.5% as a target at year-end for each of the banks. Excesses of capital will go to the holding. Now in terms of the buyback program, as Juan Carlos said, it's a tool mainly used by financial groups' issuers in the world. So we still want to have it, and we'll approach the market depending on pricing conditions, but that's definitely something that we will continue to propose and implement broadly depending on market conditions.
Brian Flores: Thank you, Juan Carlos and Mauricio. And if I may just a very quick follow-up. The 60% payout ratio, do you think we could, as analysts, use it and project it for 2025, 2026, 2027, or do you think this is more of a temporary tool you are using? Thank you.
Mauricio Wolff: So the way we think about payout is not necessarily as a percentage of net income. When we say 60%, it is a result of the way we come up with the number. So the right way to think about that is the capital levels of the operating companies. So having a target capital level of at least 11% at year-end, what you're going to see is the excess capital flowing to the holding company, and that holding company will have ample space to distribute dividends according to the double leverage that accounts only to 103%, 105%. So what you should be able to project in the models is an ordinary dividend growing slightly in real terms, at least slightly but in real terms. Now the buyback program depends not only on market conditions but on capital levels. But ordinary dividends will be growing at least in real terms.
Brian Flores: Super clear. Thank you.
Operator: Our next question comes from the line of Beatriz Abreu with Goldman Sachs. Please proceed with your question.
Beatriz Abreu: Hi, everyone. Good morning. I have two questions on my side. The first one is regarding loan growth. So your guidance is for loan growth around 5.6% this year, which is a bit lower than Colombian nominal GDP. I would like to know if that is mostly explained by either lower demand or by lower growth in the Central American countries where you operate. And if you expect loan growth to catch up to nominal GDP growth at some point. And my second question is regarding NECC. So you had good performance there in 4Q, you know, almost one million new active users, good loan portfolio growth in NECC, and ARPA surpassing one dollar. If you could give us any color on the strategy, how it's going, what are your plans to increase monetization, and also when you expect the operation to be profitable.
Juan Carlos Mora: Thank you, Beatriz, for your questions. The first one regarding loan growth, we are cautious on loan growth. We need to balance our risk appetite, so we need to be careful with the current conditions. The GDP, as you mentioned, will grow a little bit higher during 2025. We estimate that growth to be around 2.6%. And in real terms, as you mentioned, it's close to probably 6%, 6.5%. And our loan growth with the combined loan books is around 5.2%. We are expecting the commercial book to grow a little lower, and we expect mortgages to moderate a little bit the growth. So we are on the conservative side regarding loan growth, and we are going to focus on quality. We are forecasting, well, we are seeing the cost of risk in the vicinity of 2%, around 2.1%. So we will prefer to be cautious regarding loan growth. That's why our guidance looks lower in terms of nominal GDP. Regarding NECC, your second question, as you mentioned, NECC continues to perform very well. It continues growing. We are now close to 22 million customers. One figure that I like a lot is that of those, 23% are active customers. So they use NECC for their day-to-day operations. So that shows that NECC is really useful for those customers. So we continue growing, as you mentioned, we continue including or growing our loan book, and NECC is growing in a healthy way, even though we need to be careful also with risk, but it continues to grow. So what we see is that we will have, during this year, a development in continued loan growth, our income will continue to grow with different fees coming from different products. And we still or we continue thinking that we will reach our profitability or at least we will be in a level in which our income and our expenses are going to be in similar magnitudes at the beginning of 2025. So 2026, I'm sorry. 2026, beginning of 2026. So we are very happy with the development of NECC, how it's evolving, and its presence in the market is very good, Beatriz.
Beatriz Abreu: That's very clear. Thank you.
Juan Carlos Mora: Thank you very much.
Operator: As a reminder, if you would like to ask a question, press. Our next question comes from the line of Alonso Aramburú with BTG. Please proceed with your question.
Alonso Aramburú: Yes. Hi. Good morning, and thank you for the call. Yeah. So two questions. So just a follow-up on your recent comment about NECC. Can you give us some color as to where the fee is coming from? Based on the presentation, I think roughly about 40% of income comes from fees. And second, can you just comment as well on the performance in Panama? ROE has been in the mid-single digits now for a few years. What are your expectations for turning around that and potentially getting it higher? Thank you.
Juan Carlos Mora: Thank you, Alonso. Fees in NECC are coming from different sources. We have different services, including some regarding transportation, but also in assurance, but also remittances. So they come from different sources, the part of fees. But the main income in the future of NECC is going to come from interest income. That's what we are doing, building a loan book. So we continue adding new services on the marketplace of NECC. But we will move to October profitability will be our long book, complemented by the fee income that we will continue to grow. So it's a mix of remittances, FX, transportation fees coming from transportation services, insurance, bancassurance. So it's a diversified source of income. Regarding your second question, Mauricio?
Mauricio Wolff: Hi, Alonso. Yes. Banistmo posted a 4% ROE in 2024. That's not a level that you should be thinking about for the coming years. The ROE of Banistmo should go up to double digits, but it is a challenging scenario due to the competitive landscape. However, we have been doing a lot of work in terms of operational IT and building a value proposal that is competitive enough to be able to gain traction and to gain momentum in that market. To be able to deliver higher ROEs that are to be able to get close to that cost of equity of Banistmo.
Alonso Aramburú: Thank you.
Juan Carlos Mora: Thank you, Alonso.
Operator: Our next question comes from the line of Julian Ausique with Davivienda. Please proceed with your question.
Julian Ausique: Hi, everyone, and thank you for having my question. I have two questions. The first is regarding the dividend. I would like to know the rationale to change the statement of the dividend. In previous years, you paid the remaining during every quarter, and now you are paying in one installment. And if there is something related to Grupo Sura or your main shareholder in terms of the dividend. And the second question is regarding the information that will be available after the creation of Grupo Sura. I mean, you do the evaluation through some of the parts. So I would like to know if we will have information related to the Colombian operation we already have in the Superintendency, but for example, Central America or even NECC won't be to have a more precise value of Bancolombia S.A. in terms of projections and everything else. Thank you so much.
Juan Carlos Mora: Thank you, Julian. Regarding your first question, we are paying the dividend in one installment, which we don't usually do in that way, just because we are in the process of evolving as a new corporate structure. So you have to understand that Bancolombia S.A., as we know it today, is the company that distributes dividends. And we will have our shareholders meeting in March. Then we will create a new entity that is going to be the listed company. So we are in that transition. So if we are going to pay the dividend in different installments, it will be in a different structure. So that's why we are doing that in one installment in April when Bancolombia S.A. still is the listed company and the holding company. Then we will evolve very soon in the next month to a new structure where we will be Grupo Sura, and we will now operate under that corporate structure. So it's not regarding any particular investor of Bancolombia S.A. It doesn't have any relation with any condition. It's because we are evolving. We are having a new corporate structure in which the current company that is listed and is the holding company is going to evolve to be a commercial bank, and we will have a new holding company that will now operate. That's the only reason why we are just paying the dividend in one installment. Second question, also?
Mauricio Wolff: Yeah. Hi, Julian. And just to follow up on that, you should not think about that way of distributing ordinary dividends going forward. What we plan to do next year is to go back as soon as it starts distributing dividends, it will go back to the quarterly installment. Now regarding your second question, the way we are going to disclose the numbers, the results, is going to start in the second quarter of the year if everything comes out as planned. Second quarter results will be Grupo Sura results, and you're going to be able to see each of the countries with all the businesses that they are responsible for. So Colombia will not only be Bancolombia S.A., it will be the consolidated operations in Colombia, including capital market subsidiaries and also the offshore subsidiaries. That's going to be Colombia, and then the same for the other countries. We will disclose figures for each of them so that you can do some of the parts evaluation for the whole deal.
Juan Carlos Mora: Let me add that one of the main goals that we have with Grupo Sura is to have more transparency in our reporting. So as you mentioned, we will be reporting each operation separately. Bear in mind that, for example, Colombia, we will report it on the IFRS standard here, in a standard that is an international standard of accounting, not Colombian standards or those that you have on the Colombian superintendency. So there will be some differences in the Colombian operation reporting, but we will report the different operations separately. So you can have a better view of the different operations on their side.
Operator: Does that complete your question, Julian?
Julian Ausique: No. Thank you. That's perfect. Thank you so much.
Operator: Thank you. We have no further questions at this time. I'd like to turn the floor back over to management for closing comments.
Juan Carlos Mora: Thank you, everybody, for being present in this conference call. We are confident that our operations under the new evolution or the new corporate structure will add, as I mentioned, transparency, will allow us to manage more efficiently our capital, and will produce positive results. So our next report will be for the first quarter of 2025 under the current structure. But as Mauricio mentioned, our second quarter report we expect to be under the new corporate structure if everything goes as planned. So again, thank you very much for attending this conference call, and I wish you a very good day.
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.